Operator: Thank you for standing by. This is the conference operator. Welcome to the Great-West Lifeco Fourth Quarter 2020 Results Conference Call. I would now like to turn the conference over to Mr. Paul Mahon, President and CEO of Great-West Lifeco. Please go ahead.
Paul Mahon: Thanks very much [indiscernible]. Good afternoon and welcome to Great-West Lifeco's Fourth Quarter 2020 Conference Call. I hope you and your families are safe and healthy. Before we move on to management's formal comments on the quarter and the full year, I want to take a few moments to reflect on the significant change and challenge our world has faced in 2020 and how our companies are responding. Firstly the impacts of the COVID pandemic have had a profoundly negative effect on the health and financial well-being of so many particularly the vulnerable. Our companies have responded to ensure we can operate with customer, advisor and staff health and safety as a number one priority. Beyond this we work to help our customers and communities manage through the financial impacts of the crisis through accommodations and financial support. We recognize there are continuing challenges ahead as we face second waves and lockdowns and remain committed to the needs of all of our stakeholders. 2020 also highlighted the challenges we face as communities, countries and across the  world with respect to diversity, inclusiveness and social justice. Black Lives Matter and indigenous truth and reconciliation are just two important examples of a societal response to these challenges. As a company we recognize that we must be active supporters and participants in change for a better world. Climate change is also front and center as a challenge that we collectively face and must collectively address. The steps we have taken to date were reflected in the A rating Great-West Lifeco received in the 2020 CDP rankings putting us among the top five companies globally. We remain committed to playing our part in responding to the challenges like climate change presents today and for future generations as well. I'll now turn to our formal remarks. Joining me on today's call is Garry MacNicholas, Executive Vice President and Chief Financial Officer. Garry and I will deliver today's formal presentation. Also joining us on the call and available to answer your questions are David Harney, President and Chief Operating Officer, Europe; Arshil Jamal, President and Group Head, Strategy, Investments and Reinsurance; Jeff Macoun, President and Chief Operating Officer, Canada; Ed Murphy, President and Chief Executive Officer of Empower Retirement; and Bob Reynolds, President and Chief Executive Officer, Putnam Investments. Before we start, I'll draw your attention to our cautionary notes regarding forward-looking information and non-IFRS financial measures on Slide 2. These cautionary notes apply to today's discussion and presentation materials. Moving to Slide 4, you'll see a high level summary of the key themes we'll cover today. We reported a very strong fourth quarter to close out the year driven by solid underlying performance across businesses. Base earnings in the quarter were $741 million and net earnings were $912 million. On a full year basis Lifeco delivered base earnings of $2.7 billion in line with the prior year while net earnings increased 25% to $2.9 billion. These are outstanding results given the extraordinary health and economic crisis since early 2020. I couldn't be more proud of my 24,000 Lifeco colleagues whose hard work and creativity enabled these results. We'll get into the details of the fourth quarter shortly but to summarize we've experienced modest business and financial impacts related to COVID-19 to-date. While we're optimistic about improving trends as vaccine roll out we are maintaining our heightened vigilance given uncertainty around the recent wave of the virus. We are, however, confident in the resiliency of our business and our ability to manage any future COVID challenges. As you know 2020 saw several strategic initiatives particularly in the U.S. where we acquired personal capital and the retirement services business of MassMutual. We're focused on integrating these businesses and realizing the synergy and accretion targets we've set. We're also focused on leveraging our digital investments to build out strategies to provide additional advice and services to group plan participants. We have over 20 million plan participants across our group businesses globally. We're focused on extending our direct relationships with these customers and empower and Canadian group customer and at Irish Life using innovative digital platforms we've either built or acquired in recent years. We will capitalize on these and other strategic initiatives to drive further value creation in the year ahead. I will now turn to slide 5 for an overview of the fourth quarter results. Base EPS of $0.80 was down 11% year-over-year from an elevated Q4, 2019. This year-over-year change reflects a $122 million European tax settlement included in Q4, 2019 that did not repeat and that equated to about $0.13 a share. Excluding that results we’re relatively unchanged year-over-year. Net earnings of $0.98 per share were up 78% year-over-year. The $0.43 swing was due in a large part to the positive impact of the re-evaluation of a U.S.-deferred tax asset compared to the negative impact when this portion of the deferred tax asset was derecognized in Q4, 2019. Gary will provide details later in the presentation regarding this matter. Net earnings this quarter also included a net gain on the sale of GLC in Canada as well as some offsets including restructuring and acquisition related transaction costs.  Turning to slide 6 I'll provide an update on our invested assets portfolio. While performance continues to be strong COVID related pressures still exist and we continue to closely monitor the portfolio. First we'll look at the bond portfolio. At $153 billion it represents 71% of our total invested assets. It's diversified and high quality with 99% rated investment grade and 75% rated A or higher. You will note our BBB holdings of $37.5 billion are up from last quarter. The increase was primarily due to assets we acquired through the MassMutual transaction. While MassMutual has a very good investment portfolio it was a little less conservative than Lifeco's with a higher skew to BBB and below investment grade. This is very much in line with our competitors in the U.S. insurance industry. The portfolio we acquired was a [cargo] from the company's larger portfolio. We work through our rigorous asset selection process with MassMutual and are very comfortable with the acquired assets. We've added additional disclosure in the appendix to give you a clear picture of our bond portfolio by rating post the MassMutual transaction. Turning the importer experience. The impact of credit was negligible across both bonds and mortgages. We received a modest number of requests for mortgage and rent payment deferrals. Cumulative commercial mortgage loan deferrals were 3 million at the end of Q4 and we've approved $5 million in rent payment deferrals year-to-date. Our UK property related portfolio also saw limited end quarter impacts. While valuation certainty is returning to some sectors of the real estate market we are maintaining a cautious outlook for segments of the office and retail sub-sectors. We continue to monitor closely and believe the high quality diversified nature of our portfolio will help mitigate potential future pressures. Please turn to slide 7 for an overview of end quarter COVID-19 business impacts. As you know we've included this slide since the pandemic began in Q1 last year. Since then the impacts and the outlook have largely been stable to improving and it is no different this quarter. While sales and quarter activity in certain businesses continue to be muted by lockdowns, the impacts remain consistent with a slight improving trend. Despite continuing pandemic impacts in Q4 our businesses have performed well highlighting the resiliency of Lifeco and the benefits of our disciplined and diversified business model. Looking ahead we are optimistic regarding our sales pipeline and the momentum we saw in the fourth quarter performance which I'll speak to on the next slide. Turning to slide 8, in Canada individual insurance and individual wealth sales were strong with increased momentum through digital channels. Although Canadian group sales were lower year-over-year due to reduced quotation activity, we led the market in group life and health sales in the quarter. In the U.S. sales were down 14% primarily due to lower large plan sales that Empower for the quarter but with a strong pipeline of quotation activity going into 2021. U.S. results also included a full quarter of personal capital and institutional sales which were higher at Putnam. In Europe, sales were flat to last year in constant currency while wealth sales continued at a slower pace in the current environment. We benefited from the reopening of the bulk annuity market and completed two large deals in quarter. While not captured by traditional sales metrics on the slide capital and risk solutions completed a 3 billion Pound longevity transaction in the UK. We continue to see strong demand for European longevity and life capital solutions in the U.S. and Europe. Please turn to slide 9 for fee and other income. Overall Lifeco fees were up 4% year-over-year excluding those related to personal capital fees were up 1%. In Canada fees were largely consistent with Q4, 2019 in line with markets. Turning to the U.S. fees were up 11% primarily due to improved performance fees at Putnam along with higher equity markets and the inclusion of personal capital. If we exclude personal capital U.S. fees were up 6% year-over-year. And in Europe fees were lowered due to legacy block sales in the UK and the IPSI sale in Ireland partially offset by higher management fees in Germany. Next on slide 10 we'll look at expenses. Lifeco operating expenses excluding personal capital and the one-time U.S. pension credit last year were up 4% year-over-year. This is in line with our expectation of overall expense growth and reflects good discipline across regions. In Canada expenses were up 4% reflecting investments in digital and an increased focus on building the Canada Life brand. Looking to the U.S. and removing transaction costs expenses grew 20%. However, excluding personal capital the one-time and the one-time pension buyout credit last year growth was a more modest 4%. European expenses were slightly lower year-over-year in constant currency and capital and risk solutions which has a smaller expense base saw increases reflecting strong new business growth. I'll now turn the call over to Gary to review financial highlights. Gary?
Garry MacNicholas: Thank you Paul. Please turn to slide 12. Base earnings per share of $0.80 was down 11% compared to the prior year and as noted earlier Q4, 2019 included a $0.13 per share positive impact from a tax settlement in Europe. This quarter we've had strong base earnings results pretty much across the segments and I'll touch on highlights momentarily. Net EPS of $0.98 was up 78% year-over-year. While there were a number of items related to closing on recent strategic initiatives a large part of the swing year-over-year comes from deferred tax asset movements. The revaluation this year given the expected growth in taxable income from our recent acquisitions had a positive $0.21 per share impact compared to a negative $0.22 when this portion of the DTA was de-recognized in Q4, 2019. On a segment basis, starting with Canada base earnings were $348 million up 27% from last year. Lower health and LTD claims and solid yield enhancement contributed to strong experience gains this quarter. New business also contributed positively as a result of re-pricing actions earlier in the year and higher sales volumes. In the U.S. base earnings overall were unchanged year-over-year, although there were a number of moving parts. One of these was an unusual $9 million gain on an asset prepayment at Empower last year. Taking that into account Empower's base earnings continued their strong trajectory with higher fees from growth and equity markets partly offset by catch-up in technology investments. Personal capital recorded a base loss of $7 million in line with our expectations as personal capital continues to invest in new customer acquisition to fuel growth and future profitability. Putnam's results were nearly double the prior year due to a strong turnaround in performance fees and fee capital investment gains. In Europe base earnings were down 38% year-over-year mainly due to the positive impact of that $122 million tax settlement in last year's results. Excluding that, base earnings were comparable to last year with favorable longevity and morbidity experience offsetting higher life claims. Capital risk solutions saw another solid quarter of base earnings, although down from a record quarter last year. The decline was primarily due to upfront strain on a large longevity swap transaction in the quarter compared to new business gains on a similar type of transaction in the fourth quarter last year. While both of these deals meet or exceed our pricing hurdles and contribute nicely to future expected profit the specifics of a given transaction can lead to either strain or gain at the outset. And lastly in reinsurance reflecting on continued COVID impacts on mortality rates higher claims in the life reinsurance business were partly offset by favorable longevity claims experience. Turning to slide 13. This table is a new disclosure we've added this quarter. It shows the segment and total Lifeco source of earnings from a base earnings perspective. You'll note the management actions and changes assumption line as well as the other line are excluded. We thought it would be helpful to present a base SOE given the number of adjustments to get from NACE net to base earnings this quarter and also the impact those items had on the tax line. We have also added historic 8 quarter SOE displays by segment in the supplemental information package to better highlight trends particularly with the introduction of the capital risk solutions segment earlier this year. Turning to the source of earnings table expected profit was up 10% year-over-year with strong business growth in capital risk solutions, growth at Empower, higher performance fees at Putnam, improved profitability at Irish life health and an appreciation in European currencies all contributing. Regarding new business impacts due largely to the longevity reinsurance transactions which I noted earlier is driving expected profit growth. Capital risk solutions went from upfront gains of $53 million in 2019 to a strain of $40 million this year a swing of 93 million pre-tax. Other notable changes included the improvement in Canada due to repricing and sales volumes as well as increased new business strain in the U.S. as a result of personal capital customer acquisition costs. Experience gains contributed positively in the quarter and I'll cover these on a later slide. Earnings on surplus of $6 million was in line with the prior quarter but down from the prior year. This is partly due to lower prevailing interest rates and also 2019 included one-time gains in Europe of about $28 million. The effective tax rate on base shareholder earnings was 13% and it is not unusual to see our more normalized if I could call it that tax rate in that low to mid double-digit range. Turning to slide 14. The table on this slide is a reconciliation of base to net earnings highlighting the key items that are not included in base earnings. As noted net earnings in the fourth quarter included several adjustments, the largest of which was the $196 million positive impact of the revaluation of the U.S. deferred tax asset. Net earnings also included a net gain on the sale of GLC of $143 million, other restructuring integration costs in Canada and the U.S. totaling $67 million and then transaction costs with personal capital MassMutual of $47 million. Assumption changes in the period netted to a negative which I'll come back to and the market related impacts included some unfavorable changes in certain UK and Irish tax estimates as a result of market increases and the negative impact of lower interest rates and lower property values on or lower growth in property values on insurance liabilities. Please turn to slide 15. This table shows segment and total Lifeco net earnings results from a source of earnings perspective and it essentially combines the information from the base earnings SOE with the adjustments for excluded items on the prior slide. The management actions and changes assumptions line includes integration costs and transaction costs associated with our U.S. acquisitions and the gain of on sale of GLC plus of course the actuarial basis changes. The other line is where we record restructuring costs which you can see the totals for the Canadian and U.S. strategic initiatives noted earlier, recall these are all pre-tax numbers. And then lastly the tax line this reflects the tax impacts of the above most notably the revaluation of the deferred tax assets. Please turn to slide 16. These tables expand on the experience results as well as management's actions and changes and assumptions to highlight various items in the quarter most of which we have touched on earlier. Starting on the left yield enhancement continue to contribute positively particularly in Canada and I'd also like to call out there was a positive combined impact of mortality longevity and morbidity. In many cases it is difficult to determine exactly what is COVID related versus other factors but again we benefit from a diversified book of business. Expense variances reflect strategic project spend as well as higher technology and other expenses. This reflects a ramp up of activity in the fourth quarter a bit of catching up from earlier in the year when certain projects had slowed. As Paul noted earlier credit related impacts were negligible this quarter which is a good outcome reflecting the quality of the portfolio and we will continue to watch that closely. Looking at the right hand side you'll see the gain on sale of GLC shown gross of restructuring charges and the U.S. acquisition related transaction costs. Assumption changes in the period netted to a negative primarily due to updates to policyholder behavior assumptions in Canada. This quarter we reviewed assumptions for our universalized and term life business based on recent experience. Policyholder behavior updates were partly offset by longevity assumption reviews which primarily affects the UK and reinsurance business units, life mortality reviews and other updates which were generally positive. Please turn to slide 17. The Q4 book value per share of $22.97 was up 7% year-over-year and up 2% sequentially driven largely by the increased retained earnings. The LICAT ratio at Cad Life remains strong a low down two points from Q3. Continued phase in of the new most adverse LICAT scenario impacted the ratio by one point. Assuming we stay in this LICAT interest scenario the full impact will continue to be smoothed in over the next four quarters at just under one point per quarter. We've also seen growth in asset related capital requirements from both asset mix and market appreciation and this largely offsets the normal growth levels that have typically been about 1% per quarter. Lifeco cash of $0.9 billion is not included in the LICAT ratio and that concludes my formal remarks. Paul back to you. 
Paul Mahon: Thanks Gary. We'll wrap up our formal comments on slide 18. So in summary, I believe Q4 was a great end to an unusual and a remarkable year and I have to say I'm so proud of the company's performance. Looking ahead we'll continue to capitalize on the strategic investments and initiatives undertaken in 2020 all of which have set us up for exceptionally well in the future. In the U.S. we're focused on building out our retail wealth strategy as we integrate personal capital with Empower and expand our offering to our 12 million plan participants. We're also driven to realize the synergies and accretion targets we set out when we announced the MassMutual transaction. In Canada our focus remains on elevating our wealth management strategies through the combination of GLC asset management with McKenzie and we will continue to capitalize on digital capabilities to drive further revenue growth. In Europe, our focus remains on unlocking value from the investments we've made in our wealth and retirement platforms including wealth tokens in Ireland and our extension into the group corporate pension space in Germany. And finally in capital and risk solutions we will continue to leverage our expertise and experience in longevity and life capital solutions to grow this business within our risk uptick  I'll close my formal comments with a few important thank yous. As the COVID-19 vaccination programs roll out around the world we would like to thank the scientists and healthcare workers who have worked tirelessly to advance vaccine research, deliver immunizations and care for COVID patients. We also share our continued thanks with essential workers whose selfless dedication has ensured the smooth functioning of our communities since the start of the pandemic and to advisers and employees thank you for your ongoing efforts to serve our clients and deliver on our commitments while balancing family and other responsibilities as you continue to work from home. With that [indiscernible] please open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Meny Grauman of Scotiabank. Please go ahead. 
Meny Grauman: Hi good afternoon. First question is on yield enhancement it was a nice benefit this past quarter. I'm just wondering if you give us a little bit more detail in terms of what drove that and I think most importantly the sustainability of that going forward?
Paul Mahon: Thanks Meny. I'll start out by just saying that one of the things that we've really advanced over the last number of years is starting to look at opportunities for invested assets backing liabilities on a more global basis. So we're not constraining ourselves to available assets in the Canadian market. We're really looking for opportunities. For example, we look to equity release mortgages to back for instance our Canadian liabilities. So backing our yield enhancement is really starting to leverage some of those. You might almost call it sort of alternative assets that allow us to yield enhance but with that I will turn it to Gary to add a little bit more color. 
Garry MacNicholas: Sure. Actually Paul you've hit it on the head. Certainly Canada benefited from the accessing the equity release mortgages originated in the UK and that added to a good bit to the yield enhancement there and then in the UK itself we had property lease extensions that also contributed to our yield enhancement because those flow into our cash flows. So we had it both on the lease extension side gains and on those equity. Those would be the largest ones and there's just other trading. I don't know if Raman wants to give any more color but I think those would be the two I'd call out.
Raman Srivastava: Yes. It's Raman here. I think I agree that the only color I would add is it was diversified across a number of different sources and then it was in the context of tightening public market spreads but there were a number of opportunities in the private markets which really helped. So that's the only thing I would add but you covered it well.
Meny Grauman: So how sustainable, go ahead.
Paul Mahon: So Meny I was going to kind of try and wrap it up and say from so as we think about that we continue to be very active in the equity release market. So we will continue to be sourcing that as a source of assets backing liabilities. I would say have strengthened our capabilities in private markets and we're looking to both private markets and partnerships. So obviously there will be volatility from quarter to quarter in terms of opportunity but we do view these as relatively sustainable ways for us to continue to strengthen the portfolio. Anything else you'd add to that Raman?
Raman Srivastava: No. I agree with that. 
Meny Grauman: Do you sort of have targets in terms of you talking about sort of a shift more to alternatives? Is there a big opportunity there in terms of what percentage of the portfolio you'd like to see in those kinds of assets?
Paul Mahon: I'll start out by saying we continue to be very disciplined in terms of diversification and making sure that we have a high quality diversified book but we also look for yield opportunities to both support pricing and to support our earnings growth. I would say that we're very balanced. Raman is there anything else you'd add to that?
Raman Srivastava: Yes, I guess maybe just give you a bit more color if you think about 2020 not just the quarter but the year and the yield enhancement some of it came back in the spring when there was lot of opportunities in the public markets and we're able to engage in a lot of trading and really benefit from wider spreads there. ERMs has been a consistent source for us, I think other parts of the private markets whether it be the mortgage side or corporate bond market have been a good source of gains for us and as we increased our exposure via partners as Paul mentioned, I think that'll continue to provide some tailwinds for us to access some of these opportunities. So it's hard to pinpoint and give budgets exactly but I think there's a number of different ways we've been able to access yield enhancement.
Meny Grauman: Thanks Raman.
Paul Mahon: Thanks Meny.
Operator: Our next question comes from Gabrielle Dechaine of National Bank Financial. Please go ahead.
Gabrielle Dechaine: Hi good afternoon. First on the Canadian group business, you had some positive morbidity experience in LTD but in your outlook commentary in the slide you talked about mental health is still I guess a risk factor which I can understand. Can you kind of expand on what you're seeing your book of business? What kind of trends are evolving and how you're positioning yourself from a claims management or a pricing standpoint there?
Paul Mahon: Thanks Gabriel. I'll actually defer that one over to Jeff Macoun and then perhaps Gary might add a little bit of color after that. Jeff?
Jeff Macoun: Thank you Paul. And Gabriel thanks for that question. Perhaps a couple of comments I would make. We've always been very diligent on our LTD block as it is renewed generally the most of the block on a yearly basis. So we're quite aggressive in making sure that we take care of that on an annual basis. You are correct that we have seen lower incidents and we've seen this now for a couple of quarters in a row and terminations are in line with the incident. So we've seen good experience on that. From a mental health perspective we continue to monitor that and manage that very closely. We haven't seen anything at this point that concerns us but obviously we continue to monitor very closely and our outlook is that we'll watch things from a COVID perspective it's interesting that in times of like this we do see people making sure they're hanging on to their jobs if I can call it that and we have seen increase on short-term disability at this point. Gary did you want to add anything to that?
Garry MacNicholas: I think I just comment Jeff a little bit I hate to go into the detail but a little bit on the source of earnings geography just some of that caution you'd express where I think it's a very thoughtful approach we take. We did lower our expected profit outlook in this area but we haven't seen that come through and we've had very positive experience. So obviously we're managing the book for the total outcome both the expected and the experience. So we may have been a little cautious on the expected this quarter in particular and so I think that's contributing geography.
Gabrielle Dechaine: Okay. Got you. Then moving on to Empower, I guess I mean the sales in the U.S. down 12%. I'm just looking at the slide deck U.S. sales that includes personal and Putnam as well but sales down and then the strain in the U.S. is up a fair bit despite the drop in sales and you've expanded the scale of Empower quite a bit. So I'm just wondering why some of those arrows are moving in opposite directions than what I would expect to see.
Paul Mahon: So I'll start out with that sales is something that occurs when you book the sale and then obviously as we're bringing the customers on that can take especially when you're looking at large plans. The incidence of the cost you're taking in terms of acquiring the customer can occur over a period of a number of quarters especially with when you're looking at the mega cases. So I think sales and strain are always not going to line up in the same moment. Maybe I'll let Gary speak to the strain a little bit and then he can refer it on to Ed to provide you with a little context on sales but the reality is it was more or less the absence of any very large sales but as I said we like to look of our pipeline going into 2021. So we've seen this type of volatility. It can be quite lumpy but Empower's value proposition is such that we really do like the pipeline we have in terms of quotation activity but Gary do you want to speak to the strain and then Ed can talk to sales.
Garry MacNicholas: Yes. Sure. And just quickly on the strain, I mean really the movement year-over-year in the U.S. I think the movement year-over-year was [14 million and of that 17 million] movement is personal capital just we do outline the Canadian pre-tax and remember these are all pre-tax. It's a customer acquisition cost of personal capital. So –
Gabrielle Dechaine: Right. Okay. 
Garry MacNicholas: Absent personal capitalist drops a bit which I think what you were thinking.
Gabrielle Dechaine: All right. Perfect thanks and then my last quick one Putnam, I mean that's not a massive number but the performance fee 30 some odd million bucks and normally it's single digits. Was there anything noteworthy there?
Paul Mahon: Gary why don't you start up but maybe but Gary you can just provide a little bit of context for sort of timing and then Bob I mean I think it behind that Gabriella is strong performance. We've had a really strong year but Gary can speak to the timing issue and then I think it's good if Bob can share some insights into performance.
Garry MacNicholas: Yes. I think it's the one thing I tell is that the institutional performance fees a lot of those are in Q4. So there more in Q4 and you see earlier in the year and then the other thing I'd notice that over the past few years we did have it we had a bit of a drag on performances from completely different mandates that were slowly running off and these were we just had to have the runoff of those there were three-year averages that were just running off. So what I think what you're seeing now is the strong performance is really shining through. So maybe Bob would add a little more color on the performance.
Bob Reynolds: Thank you. Just to add that obviously it is strong performance because that fee but what we see our performance fees the mutual fund part of the business the institutional and we have seen growth significant growth in hedge fund business and all three of those contributed to the performance fee number and we're off to great start this year. So we're very encouraged by that.
Gabrielle Dechaine: Okay. Thank you.
Bob Reynolds: Welcome.
Operator: Our next question comes from Paul Holden of CIBC. Please go ahead.
Paul Holden: Thank you. Good afternoon. I want to go back to the questioning on Empower. It seemed like you came into 2020 with a lot of positive momentum in that business with all the investments and integrations you had done and then growth kind of slowed in 2020. So what I'm trying to figure out is to what extent is that simply related to a slowdown economy and particularly I guess with respect to employment and with job growth starting to pick up in the U.S. like is that something that should be a nice tailwind for Empower? Is that material?
Paul Mahon: Thanks Paul. First off in the context of growth to your point I think COVID has had an impact on things like quotation activity especially when you're looking at group businesses but as I said before we're seeing our pipeline has improved really across most of our group businesses including Empower. So there's no doubt there's sort of a, there is a bit of a COVID slow down but I think to a large extent that's starting to get behind us but I'll let Ed provide a bit of context as to how that played out through 2020. Ed?
Ed Murphy: Sure. Thanks Paul. I would say with regard to the book of business typically you would see companies hiring during the course of the year and enrolling new participants. So if you look at our base of business because of the economy we did not see a lot of growth within the existing base of customers in terms of participant growth but as Paul referenced and I think Gary might mention this too I mean there's some lumpiness to the sales particularly in the upper end of our business and we certainly have seen that. We only had one significant large market sale in the fourth quarter. That being said if you look at January and where we're positioned in 2021 we have commitments now that exceed all of our sales in 2020. So I think really good growth. We did see some lag in terms of activity as companies focused more inwardly in their own situations but now the RFP activity has picked up dramatically and our pipeline frankly is that the highest it's ever been in the history of the company. So I'm pretty optimistic about 2021.
Paul Holden: And then so you've commented on the pipeline now a couple times. Wondering if you can give us some kind of sense on closing rates or at least from the perspective you don't want to give us a closing rate at least from the perspective of have closing rates for Putnam or sorry for Empower improved over time with the new technology and scale that you've built in that business? 
Speaker: Yes. Paul. We're certainly, we don't want to get into providing the specifics on the the actual size of the pipeline and closing rates but for sure I think that can provide some context around our how technology has I think it impacts two things. I think number one when you become significantly differentiated advisors can almost can't afford to not have you on the docket when they're doing an RFP and then the question is do you have a better value proposition. So maybe [indiscernible] can provide a bit of context around that.
Speaker: Yes. I think there's a lot of dynamics. Obviously the value proposition and the breadth of one's capabilities is important. We're a significant scale player in the market so we bring some cost advantages and pricing advantages to the market and historically if you look at our growth as measured by net participant growth. We typically have growing at a multiple market and we expect that to continue. Bob the other factor that's playing out in the market is consolidation and the disproportionate amount of the new business and the flows are essentially going to the top players in the market and so we expect that trend to continue and see further consolidation and we think Empower is well-positioned to benefit from that.
Unidentified Analyst: Okay. Great. All that color is helpful. One last one from me and this is on the CRS business. With the great growth there spent a little bit more time looking at some of the I guess the non-earnings numbers like premium growth, asset growth, liability growth and it's hard for me to correlate the type of base earnings growth you've seen in that business relative to some of those other metrics I just mentioned. So just wondering if you can help us understand how we should be looking at the primary underlying drivers of that base earnings growth and if there is anything we can track in your subpac to help us with that.
Paul Mahon: Thanks Paul. I'm going to turn that one to Arshil to provide a bit of color. Arshil?
Arshil Jamal: Thank you Paul. So I really describe the business that we have within our reinsurance operating unit as focusing on four or five product lines. So we have sort of our core U.S. traditional and our property catastrophe businesses that have been long-standing parts of the businesses and they are relatively low growth. It's really been the financial solutions businesses both in the U.S. and various European markets and then over the last couple of years really the longevity transactions that have been driving the 22% growth continuing expected profit over the last 12 months. So those are the areas. We've added in the stats supplement a little bit more detail on the expected profit and we will think about how best to communicate some of those forward looking networks or whatever but it's very difficult to put sort of a longevity swap that is too offsetting long-term cash flows through a P&L and get something that is comparable to something like a traditional payout annuity or a U.S. traditional life reinsurance. So we struggle with that ourselves but the areas that we're seeing very-very strong growth is on the longevity side particularly in Europe and in the like solutions business both in Europe and in the U.S. and those are the fastest growing parts of the reinsurance business but we're committed to continuing both in the like traditional business in the U.S. and the property catastrophe but that will be at a slightly slower growth rate
Paul Mahon: Yes Arshil I might add that our continuing commitment to U.S. trad life and the property catastrophe is the fact that when you think about this business it's nicely diversified across a range of different risks and it actually diversifies well with the broader Lifeco portfolio and beyond that it actually provides us with expertise as we face off against different other businesses and think about trying to either leverage internal reinsurance or leverage expertise. So it's a book and as Arshil said the growth has been more in the financial solutions and longevity and it's transaction by transaction. So it's hard to kind of put a sales forecast but we tend to think about it more in the context of an overall risk appetite in terms of how much do we want. So we'll think about whether there is a better way to guide on that.
Paul Holden: Okay. That would be great. Thanks for your time.
Paul Mahon: Thanks Paul. 
Operator: [Operator Instructions] Our next question comes from Tom MacKinnon of BMO Capital. Please go ahead.
Tom MacKinnon: Yes. Thanks very much. Good afternoon question on Empower and then a question about experience gains. In the supplement if I look at the Empower revenue it's the lowest it's been in fourth quarter was the lowest we've seen in terms of Empower revenue for all of 2020 even if we flip them into U.S. dollars. I'm wondering why is that the case. Why wouldn't the revenue be the highest in the fourth quarter as a result of the equity markets being so resilient? And then I have a couple follow-ups. Thanks.
Paul Mahon: Okay. I will let Gary start off on revenue and Gary you might want to turn down one that one back to Ed.
Garry MacNicholas: Yes. Certainly on the revenue when you're looking the supplemental pack Tom and I think we've talked with this before the revenue that's shown there is what the insurance revenue. This is the on balance sheet or the general account option at Empower and that's that risk-based premiums line or revenue premiums I think you're looking at there or total net premiums line I think it's also referred to as I think those ones you're looking at.
Tom MacKinnon: I am looking at total income. So it includes fee income, investment income and total net premiums.
Garry MacNicholas: Yes. Your net investment income score is going to have a lot of movement in around fair value. So you always have to be a little cautious there. It's really the and the fees I think have been very steady increasing as you'd expect and then the premiums there are the general account premiums and so what we saw and particularly saw in Q1 and Q3 you see a real jump up in money going into the general account as a bit of a safer haven is what that was considered then you see it that's what's causing the ebb and flow this year and you'll see those numbers are up quite a bit from what they would have been in 2019. So that's that’s really that I mean there's money going into the general account and then overall obviously the money going in Empower is [safe] fund deposits, mutual fund deposits and so on. 
Tom MacKinnon: And why were the net earnings on that exhibit for Empower U.S. dollars 30 million below what they were in the third quarter? 
Garry MacNicholas: Yes. The third quarter we would call this had a at a fairly large I don't remember off top my head was a fairly large basis change in the third quarter. Remember this just the full net earnings and there was a basis change of Empower again to do with that general account and I think it was quite I just don't have the number right in front of me from Q3 but that's what the jump up is.
Ed Murphy: I think it was 23 million. 
Tom MacKinnon: Yes. P&L on base for Empower would actually certainly help if that's the metric to use rather than the reported and if I go into a follow-up here it has to do with – 
Garry MacNicholas: Hold on the source of earnings might help you there by the way just that we did have a source earnings now for the U.S. and we've got Putnam get back.
Tom MacKinnon: Yes. I mean it's got runoff individual insurance it's got Putnam. It's, yes anyway.
Paul Mahon: Okay. We can help with Empower with that. Good idea.
Tom MacKinnon: Yes. I mean I don't look at Empower as being a source of earnings type business. I look at it as being a P&L type business so nonetheless. If I move into experience gains and losses there's an item called expenses and fees. Now I assume the fees are ASO fees is that correct and then what are the expenses just the degree to which your maintenance expenses are coming in line with what you thought and why is this number running negative?
Paul Mahon: Gary I'll let you take that one. 
Garry MacNicholas: Sure. Yes I think what we have is we have a certain level of expense baked into our expected profit as you can imagine. And then there is certain type of expenses where it's not really in the running of the business and some of these are our plans like if we undertake a short-term strategic initiative over a could be a period of time that's not in our sort of ongoing expected profit for the business but it's going to cover a few quarters or a couple of quarters then you can see some expenses from that and again it's all part of the bottom line but we put that in as an experience loss rather than an underlying expected profit for the business and then this quarter I think I referenced it earlier some of what we saw was really just a bit of a catching up of where we had some expenses that were lower down whether it's technology, whether it's accruals for certain items there was a bit of a catch up in Q4. So there's a bit of a jump up and expenses that we wouldn't expect to carry through going forward but it did cause an expected certain experience loss in the quarter.
Tom MacKinnon: Okay Gary and the fact you say fees is that because you're in [indiscernible],
Garry MacNicholas: Fee is going to be all of your that's also any variance from just generally from market movements relative to what you expect at the start of the quarter just in your asset all your various asset related fees and that usually moves a few million every quarter up or down because we reset the expected profit for the fee based businesses, the wealth management businesses at the start of every quarter based on asset levels but obviously it might unfold slightly differently than plan during the quarter and so that variance also goes into the fees.
Tom MacKinnon: So even to the extent Putnam fees aren't in line with the anticipated shows up there?
Garry MacNicholas: Yes. That would all be in the expenses and fees section.
Tom MacKinnon: Okay and sorry and the last one if I look over at management actions and changes and assumptions generally towards the end of the years when you do a lot more actuarial reviews and if we take out the transaction and the gain on the sale your net negative in terms of changes and assumptions here. Is that indicative of how should we be thinking of this thing going forward? Traditionally this has been a bit of a source of earnings to Great-West in the past. How should we think about the fact that in this quarter was negative?
Paul Mahon: Yes, I think the quarter was really dominated by the one large negative item in Canada on the policyholder behavior. That's a bit of an outsize relative to what I think we've historically been seeing across our book. Overall for the year I'm tallied up but I think it was probably a small positive for the year on the assumption changes and certainly going forward while I'm sure there will be some pluses and minuses, I think we still do expect and typically have seen a positive contribution from that source. We can't get ahead of ourselves on predicting it but there's nothing fundamentally different in our balance sheet than what we would have had in prior years. So obviously we've also got the transition [indiscernible] coming up soon. So that's we just got to manage that to transition over the next couple of years but there's nothing really different to the balance sheet. So I wouldn't be surprised to see a modest positive going forward out of that. We just have to do the experience work next year.
Tom MacKinnon: Okay. Thanks so much.
Paul Mahon: Thanks Tom.
Operator: Our next question comes from Darko Mihelic of RBC Capital Markets. Please go ahead.
Darko Mihelic: Yes. Hi. Thank you. This is a follow-up to that question, the updated policyholder behavior assumptions in Canada. If I step back and look at Canada and this year expected profit growth was actually less than a percent. So I just trying to understand a bit better now that you've made these changes, should we be expecting or all else equal would expected profit growth be similar in Canada similar rate or should we expect something different like what was it that kept expected profit growth so low this year. I mean I think I can make a few guesses but I'd rather hear what you guys are thinking on that and maybe provide a little bit of color on what we should be expecting for 2021? 
Paul Mahon: I'll start out and I'll turn it to Gary. I'll just echo one thing that Gary talked about before where we saw the significant experience gains on the group morbidity side. We tend to think about it expected profit and experience gains as you're going through a period like that we look at it more holistically and in total because we're re-pricing that book. We're trying to get a handle on how much of the improved experience that we've seen this year will be continuing, how much of it should we be have a degree of caution and I think to the extent that we use caution in our expected profit which we sort of set out at the start then we end up seeing stronger experience gains rolling off and I think that's what you saw in particular. This quarter you would have seen the degree of caution as we thought about go forward and then you saw actually a better outcome than our cautious approach. So there's generally that theme as we look at some of these in Canada but I'll let Gary get into a little bit more of the color on the broader expected profit in Canada.
Garry MacNicholas: Thanks Paul. Yes, I think the moving group was probably the largest single item and you've got some business growth in some areas. This is often a little bit of fee compression because just goes on in the wealth businesses. So that's all it but the largest change you saw earlier was in the group area and it was downward in the group area and again not the results have actually been quite good but the geography was different so we've got, as we've now had a couple of good quarters of experience gains then that will certainly factor into perhaps taking a little less cautious view unexpected profit going into next year. And then also we do have quite a number of initiatives. Jeff hasn't talked about him in this call but we have referred to mom prior calls just a number of initiatives to grow our business and our expected profit in Canada. So we'd expect to see some of those coming online in 2021 as well. So cautious optimism for some growth there but I think some of it will just be reflecting on the last couple of quarters of strong experience do we have more confidence in putting that into the expected profit next year.
Darko Mihelic: Okay. Thank you for that. Maybe just one follow up, you mentioned the longevity business in the UK as being a driver and so we are seeing the PRA is considering altering the capital requirements and there are some views out there that says it should be altered to the benefit of players there and should we expect if the solvency regime is relaxed a little bit and there's more capital available would that be negative? I would think there would be more competitive pricing and more just more activity in the bulk annuity space. Maybe you guys can speak to that a little bit. Is that a risk to the business as you see it? 
Paul Mahon: Darko, it's Paul. I'll start out by saying that we like our approach to the overall longevity side because we don't just participate in UK bulks we also participate with our reinsurance, our capital and risk solutions group and we also look to diversify out of the UK and we've actually had a fair bit of participation in Dutch longevity exposure by the reinsurance business. So we tend to look at that sort of more holistically and we look for places where we can add value and where there's strong returns for us. So that would sort of be a broader perspective. I think Arshil can give you some context around our views on if there were in fact some relaxation of some of the drag from solvency to how that might play out. Arshil?
Arshil Jamal: So thank you Paul. You did highlight that we are on the reinsurance side our longevity swaps are not just in the UK but also include a number of EU countries most notably the Netherlands. So any change in the UK will impact sort of a competitive landscape in those other countries but the demand side of it from pension funds so often the client is not another insurance company but it's a defined benefit pension plan being risking. So I think those dynamics continue to be very-very favorable. If you look ahead to where DD plans are funding levels, interest rates and sort of the risk preferences of corporate sponsors, we think there's quite a strong tailwind there. If there are sort of capital reductions in the UK I think it might help us actually compete in the retail payout annuity market where we could offer even better value to customers. So I'd be sort of cautiously optimistic that notwithstanding any regulatory changes but yes we will continue to see sort of strong demand for all of these types of products both on the reinsurance side and on the direct side in the UK to retail customers and to on and above basis.
Darko Mihelic: Yes. Okay. Great. Thank you.
Operator: Our next question comes from Doug Young of Desjardin Capital Markets. Please go ahead.
Doug Young: Good afternoon. Just have a few quick just maybe clarifications in base on slide 14 you removed 23 million of management actions. Can you just let me know what does that relate to?
Paul Mahon: Dough it's Paul. That is a an SOE question. I'm going to allow Garry to take that one. Garry over to you.
Garry MacNicholas: Sure. That's the, I'm just looking for the actual page numbers here that's what we outline a little later in the slide. So it's on slide 14 as you just pull up your pages here, on slide 14 the assumption changes management actions we've actually outlined those on pages 17. Yes. The vast majority of those there I think that's if that adds up to 29 which is getting it so to be some of the restructuring won't be in this restructuring another but that's a lot of what's pulled out there is three point assumptions and the management actions we call that some of the specifics down below. So you've got in that you've got the basic changes. We touched on. You've got both the pluses minuses. You had a, we recaptured some reinsurance and that went into again that was a positive that went in there and again it's mostly just the netting out of the basic changes. That's the bulk of it plus recapturing as part of our mortality review which was positive. We also recaptured some mortality risk and that again was a positive bringing it onto our basis. So those would be the drivers there. It's basically other than some of the big strategic initiative related items we put out below but most of it's the basis changes.
Doug Young: I guess what I was confused about was because it's a gain management actions was a gain but you're actually adding back an amount in base earnings such that you would think it was a loss and so that's why I was just like the 23 million doesn't really match up to. We can follow up afterwards.
Garry MacNicholas: Yes. Let's do that afterwards. It's just walking through the pieces.
Doug Young: Yes. And then there was a big jump in expected profits in the U.S. operations. What did that relate to? Is that in the inclusion of the MassMutual business?
Garry MacNicholas: No. That was not. The MassMutual other than the restructuring that we noted in the transaction cost mass feature was not in it closed right December 31. So that's really it's pretty much split between Putnam and Empower in terms of increase. Now some of that is going to be market growth number. It's the outlook as we knew the we could see the performance and how that would lead into performance fees. So you had performance fee and then the margins and the growth in the Empower has been driving that so pretty much split between Putnam and Empower.
Doug Young: Okay and then lastly I think there's a restructuring charge in Canada like I get the restructuring charges in the U.S. but I think there was one in Canada. Correct me if I'm wrong and maybe that was related to some strategic initiatives if I recall. Can you maybe just delve a little bit into that and do you have an idea of what the cost is would that would come from that?
Paul Mahon: Garry I will let you start there and then Jeff may want to provide some color on the work we've actually been doing in Canada in relation to strengthening our overall distribution and marketing efforts. Garry?
Garry MacNicholas: Yes. So there were a couple of things in there in Canada, a part of that that's where we quoted earlier net gain on the distribution of the divestiture of GLC our Canadian asset manager to McKenzie and so the restructuring that went with that is part of that number and then I believe there was some restructuring in the Canadian distribution that maybe Jeff would want to touch on briefly. That's the bulk of that.
Jeff Macoun: Yes. Thanks Garry. Yes, we were very pleased with the quarter of course and you did see some very strong sales both on the individual side and the group insurance side. In part we made some changes in the latter part of the year on our wholesaling efforts those individuals calling on advisors out in the marketplace and we established an internal wholesale organization which we didn't have that muscle before and that has proved to be very-very positive for us in the marketplace. That's allowed us to reach advisors like we never have before whether that be digitally or through other methods and as well we've strengthened our external wholesaling organization. So that's the bulk of the story there. The other part that Paul referenced to is that we've undertaken a pretty strong total review of our distribution organization. We've added a fair bit of muscle to our value propositions and each of the markets that we operate in both on the individual and group side. So that would be the bulk of what it is.
Doug Young: Okay. Great. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Mahon for any closing remarks.
Paul Mahon: Thank you [indiscernible]. To close I would really just like to thank everyone for attending today's call. I wish everyone well in terms of health and safety as we work through hopefully a bit of an opening through the lockdowns that we're all going through. So I wish health and safety to your families and we look forward to connecting with you again at the end of the first quarter. Thanks very much.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.